Operator: Good morning, good afternoon, and good evening, ladies and gentlemen. Welcome to the Samsonite Group 2024 Annual Results Conference Call. [Operator Instructions] Please note that this event is being recorded. I would now like to hand the conference over to Mr. William Yue, Vice President of Investor Relations. Thank you. Please go ahead, sir.
William Yue: Thank you very much, operator, and thank you, everyone, for taking the time to join the call. Today, we have our CEO, Mr. Kyle Gendreau; and our CFO, Mr. Reza Taleghani with us to present our 2024 final results. And to begin, our CEO, Mr. Gendreau, will have a few opening remarks. Thank you very much.
Kyle Gendreau: Okay. Thanks, William. Thanks, everyone, for joining us. I'm on Page 5. I'm sure William will turn the pages for us. We delivered top line growth in Q4, with improving sequential sales trend improvements across all of our regions. Our net sales for Q4 were $942 million, an increase of 1% in constant currency, compared to our Q4 last year that was up 21% versus 2019. Our top line sales growth was in line with our outlook and again, improved across all regions. I'll show you that in a second. Our gross margin was very strong and remains robust, 60.2%, up 30 basis points to Q4 of the prior year, really driven off of discipline on promotion and discount that continues off the back of real SKU transformation during the pandemic, successful investments in brand elevation across all of our brands and increased share, particularly in Q4, increased share of our total sales coming from the DTC channel, and I'll cover that as well. We continue to remain really good discipline on our expenses. Our combined Q4 distribution G&A expenses were actually $2 million down from the prior quarter of 2023. And despite adding 67 new stores in the past year. So it really speaks to and shows the discipline on the expense management. Reza will cover that in more detail in his section. We achieved Q4 adjusted EBITDA of $195 million, a record EBITDA margin of 20.7%, up 160 basis points to Q4 of '23, driven by a bit of lower advertising as we were managing the business, and the higher gross margin that I covered, really feeding to a really great EBITDA position for the business. And we continue to generate great cash for the full year and for the quarter, $135 million of cash -- free cash flow generation, up $3 million from Q4 2023. On the next page, we'll give you a sense for by region what we're seeing, okay? And we'll start with Asia. Clearly, an improving trend, still negative. So we were minus 11.5% in Q3. We're minus 6% in Q4. India is a big piece of that story. India, as you know, we saw some challenges during the year. If I adjust for India, we're only down 1.6% versus Q4 last year, India was down 27%. Importantly, we're seeing an improving trend in India as we move into 2025. We're seeing a positive Q1 just to give you a scale -- sense for what India's journey and transformation is. And within the Asia numbers, China was plus 1% in Q4 versus minus 15% in Q3. So you can see within Asia, a sequential improvement. As we think about Q1 of next year, we're seeing some continued improvement in the Asia trend as well. North America went from down 8% Q3 of this year to positive close to 4%, 3.9% growth. There are some timing issues or shifts from customers that pulled in orders from Q1 and generally an improving trend that we're seeing in North America. On the back of sentiment that's really starting to show itself in North America, and we'll cover that when I talk about outlook for the year. Our Europe business, a really steady position. We were down 1.7% in Q3. That was our best kind of Q3 performer from a region and delivered 5.6% growth in Q4. And I would tell you our Q1 number looks very consistent to that, so steady Europe. And Latin America, continuing a steady story, delivering 14% growth, very similar to what we did in Q3 of this year. All core brands showed really sequential improvement as well, particularly Samsonite and Tumi. If you look at Samsonite, this is a brand that was up 4.6% in the quarter off of a growth from Q4 of last year that was tremendous. Really, that improvement in that recovery from pandemic that we saw in '22 carrying into '23. And despite being up that kind of strong trend, Q4 is up 4.6%. And that, from a trend perspective, was down around 2% in Q3 and up 4.6% in Q4. For the full year, Samsonite brand was up 3.3%. So it's a core brand in the kind of middle part of the market really delivering excellent results. Tumi in Q4 was up 4.4%, again, off a tremendous story from Q4 last year as the business was really recovering off the back of pandemic. And importantly, the trend from Q3 to Q4 this year, Q3 was down 8.9% and a plus 4% this year. And for the full year, Tumi was almost flat. That's my lens. It was down around 0.8% off the back of what we've talked about in earlier quarters this year, I think that's a great ending spot for Tumi for the full year, and we're excited about Tumi on a go-forward basis as well. American Tourister, a bit more choppy, largely driven by India. So if you look at American Tourister, we're down 6.9%. If I take India out of Q4, American Tourister was up 1.3% for the quarter. I think that's a really good story for a brand that's really feeling some of the consumer sentiment and the way wholesale customers are buying in at this entry-level brand is a little bit different. And so I think that outcome is very good. American Tourister in India was minus 31% for the quarter, just to give you a scale for the impact within India. And the brand itself for the full year was down around 6% for the reasons I just said. And again, if I take India out, it's down around 1.9%. So feeling some of the impacts on consumer sentiment in that entry-level brand. If I go into a little more detail on brand Samsonite, here for North America, top left to the page, and I'm on Page 8. You can see we had a really strong Q4, up almost 10% off a really strong holiday season. So they actually leading into holiday and consumers were moving even though sentiment was under some pressure, but this is brand Samsonite is performing very well. And wholesale customers, as I said, pulling orders in. So we had a very strong Samsonite Q4 in North America. Asia was a bit softer, down around 3.6% -- and you can look at the last year number, this is this kind of slower recovery in Asia that we really felt the boom in Q4 of 2023, up almost 41% to the prior year. And if I peeled in Asia just a bit, it's really driven off a few things. One, again, last year was up 41%. There's a bit of noise in Korea. As you remember, Korea had some political issues that they were navigating. There was a plane crash in Korea that really impacts sentiment within Korea. And our Korea business was down 6%. Hong Kong is still under pressure, down 18%. And Singapore is down 3%, really due to currency effects and how travelers are spending when they're in Singapore. But the rest of Asia is actually performing quite well against the backdrop of Q4 of last year. Europe, as I said, very strong. It was up 4.6% versus Q4 last year, really a steady performance and really excited about it as we step into 2025 in Europe. In Latin America, just continued trend. This is brand Samsonite up around 26%, very similar to what we saw in Q4 of last year as well. If I go to brand Tumi, here, you can see and this is Q4, you could see a really improving trend across all regions here. You can see North America up 5% to last year. Asia is roughly flat, down 0.2%. Here is where Korea had a big impact because we have a meaningful business within our Tumi business in Korea, and that was down 16% off of what I just talked about. Our China business was up 2.5% in Q4 for Tumi as well. Really strong result in Europe of 12% for Tumi on the back of really great product positioning in store expansion, e-commerce expansion and further penetrating Tumi in Europe, which we know is a big growth driver for us, and you can see it in the numbers. And Latin America, the numbers are small, but the percentages are really strong. The brand is doing very well there, up 17%. And again, overall, Tumi in Q4, up 4.4% is a great result for us. American Tourister, just a bit more detail here. You can see what we're talking about. I'll start with Asia, down 11%. It was up tremendously last year versus the year before, up 35%. A lot of that was actually happening within India. And so that's kind of softened off in India for the reasons we've talked about in prior quarters around competitive pressures. If I take India out, India, the overall Asia American Tourister will be up around 2%. North America is a function of weaker consumer sentiment, particularly at the entry-level price point, we can see and feel some of that. American Tourister is a smaller piece of our North America business, you can see in the numbers, but that -- there is an impact there. And also, wholesale customers, because of that sentiment, they're buying in American Tourister a bit more cautiously as well. And you can see that in the numbers, it looks like a 10% drop, but in dollars, not a tremendous drop, a couple of million dollars, but we can see the impacts there. Europe was very strong, up 6.4%, really great result in Europe as we really continue to penetrate American Tourister. And Latin America, up 13%, really a strong, strong result. And Latin America showed the recovery of COVID in the last year numbers as well. So it's quite a strong number last year and in constant currency, still delivering teens growth. On Page 11, just to dive into travel, nontravel where we will have a slide in the back just showing the mix, but our nontravel continues to grow. This is a pillar of growth for us. We have the ability to outsize our growth in nontravel. This gives you a good sense across brands, what this means and looks like for us. So across Samsonite, this move 5.0 backpack, the driver. You can see real continued investments in the Voyager collection within Tumi really moving the needle. And American Tourister, products like Urban Groove backpack has been tremendously successful in Asia, doing well in Europe as well. And then some of our complementary brands, Gregory is really continuing on the mission to penetrate more lifestyle bag and day bags and this room in '22 has been a very successful bag. And Lipault, as you know, we're pushing and investing in this Lost in Berlin Collection, particularly in the backpack collection is doing really tremendous stuff. So there's real opportunity for us to continue to outpace our growth in the nontravel category, and this is some examples of that in the prior year. Shifting to the full year on Page 12. We delivered very strong profitability and cash flow in '24. Our business ended up about approximately flat. This is where we had anticipated as we were kind of stepping into Q3. And so roughly flat to '23. '23, as we know, marked a really record year for this business as far as travel and revenge travel off the back of pandemic and consumer spending, consumers were still leaning in and really traveling and prioritizing travel, larger wholesale customers rebuilding their inventory levels from the pandemic. We saw that at the start of 2023 and it carried right through even to the start of '24, we're still feeling some of that, and that started to level off as wholesale customers were back in inventory position. So factoring all that in, a flat 2024, though not what we originally anticipated is a very good result considering. Gross margin is tremendously strong ahead of our expectations, up 70 basis points to the prior year, again, for the same reasons. Real clear vision on promotion and discount strategy with a really organized product assortment. We continue to invest in brand elevation across all brands. I think you can see and feel that wherever you are in the world and looking at what we're doing with our brands. And then again, our D2C mix for the full year is up just a bit, which has some upside margin -- gross margin benefits as well. Our adjusted EBITDA margin of $683 million for the year or dollars, a margin of 19%, slightly lower than the prior year, off of slightly lower sales than the prior year. And really, the ongoing investments in the business. We're managing the business very carefully on expenses. The teams are laser-focused on that. And you can see that on all of our results as you look across the business, the ability to deliver leverage in this business as we drive longer-term growth in the business. We generate strong cash flow. You guys know this if you've been looking at us while we continue to do that. We really leveraged this asset-light model. We generated $311 million of free cash flow. That's up $26 million from the prior year. And we saw, as I said, a very strong Q4 on the cash flow side. And we had great progress on our working capital. Our working capital is below our target. So we came in better than our targets of 14%. And we reduced inventory by $44 million to '23. And as you know, we had stepped inventory up in '22 and '23 to capture sales, and we've now have our inventory coming into its more normalized territory without having any impact on sales and helping deliver cash flow as well. Just a picture from '19, you can obviously see the pandemic year not so focused there. But you can see we're up 22.8% to 2019 on a currency basis. I'll show you a slide, the next slide would -- to show you what that really means if adjusted. You can see this revenge travel in these numbers, and you've seen these before, but revenge travel starting in '21, continuing very strongly in '22 to '23, which drove a really strong result for '23. We were up 30% to the prior year off of this. We were flat -- roughly flat for this year off the back of that surge. I'd also say we had a few challenging markets, India as we know. And if I adjust for just India, our numbers for '24 would be a positive 1.2%, just to give you a scale for India. And again, we're seeing really good progress from the initiatives with the team in India where Q1 is looking like it will be positive for us. So that's a real transformation story there. In China, which was largely flat for the year. In many ways, that's a good result for China when you consider the year. But flat for us means it doesn't deliver to the growth story. And we think China will get back to a growth story for us as we go through the rest of this year, and we're seeing good early green shoots as we go into '21 for China as well. And again, our net sales in '24 are up almost 23% to 2019. In the next slide, I think I've shown this before, somewhere along the way, but I think it's important. What does that mean in dollars when we look at the journey, and we -- much of the management team has been here for a while. You can really see the impacts of currency from '19 to where we are today. And if I adjusted just for currency, our sales would have gone from $3.5 million to $4.2 billion. So a really tremendous story adjusting for currency. We're a U.S. dollar reporter as you know. But much of our business is outside of the U.S. And so it really shows itself well here in this chart. From a brand perspective, on the full year basis, I've covered a lot of this already, but you can see Samsonite up 3.3%, really strong results across largely all regions. Tumi, again, roughly flat, slightly down in the dollars. The dollars aren't so tremendous, off a year that was up 36% the year before, really around us coming back in inventory and that consumer really stepping into travel in '22 and particularly in '23. We definitely saw softness in consumer demand and traffic in this premium luxury sector. We're not alone in this, and Tumi sits really nicely in this premium luxury space. And that's softness in traffic, we could feel some of that within Tumi as well. But importantly, you saw our Q4 plus 4%, 4.4% and for the full year flat, I think that's a good outcome for a slice of the market that was feeling some traffic pressure. We covered American Tourister quite well, you can see the numbers. If I adjust India out, it's down around 1.9%. And again, this is customers and wholesale customers that are impacting some of that, as wholesale customers, particularly in markets like the U.S., are being more cautious in buying into this space. And that consumer is feeling a little bit more of the pressures from inflation particularly. But overall, a good result considering those factors. You've seen this slide. I'm on slide -- I can't see the Page #16. And I just wanted to show 2 things here. One, we've historically been correlated to travel very well. You can see the blue line, which is our numbers, compared to the red line, which is global passengers. And you can definitely see our correlation. And I think importantly, when I look at the last 12 years, historically, we outperformed this. We have the ability to outperform this by a few points, and we've historically done that. You can see the '22 and '23 period with the revenge travel. It's maybe not so easy to see on the page. But if you look closely, our numbers were really outpacing travel as consumers were stepping back in and buying. Our '24 number flat, but still very correlated to the travel trend. And the forward look -- and I think this is an important part of the slide, the forward look for global travel is still 6%. And if you think about our history and ability to outperform that and think about our forward direction in the industry we're in, which is still very positive, I think that speaks very well for kind of our long-term prospects. Just a few slides to point out what we're seeing in trends. So first off, world travelers, this is '19 to '24, are up 12%. Our business, as I said, up 123% in constant currency.  You look at airline revenues in that same time period, up 15%. Hotel -- leisure hotels, up 16%. Airline seats, still not fully occupied. There's still capacity -- and this is a global number. So there's still recovery to go in markets like China, which is holding that global airline seat number down. And then a U.S. lens, up 18% on passports issued '24 versus 2019. So all the indicators really speak to travel from a strength perspective. And again, we've been able to outperform that with the portfolio of brands and our leadership position in the market. Just another lens on travel. And I think this -- we feel it and we see it, and I think it's a big driver of the forward indicators as well. But consumer preferences are really driving a greater frequency on travel. People are really prioritizing experiences and travel versus hard goods, and we continue to see that. Every next generation has an aspiration to travel different than the previous generation. And the way they're traveling is different. We're clearly seeing luggage growth, but we're seeing unstructured luggage, nontravel in our space continuing to grow in a meaningful way. And importantly, when we look at data and this is data we recently looked at. Travelers replaced their luggage -- 52% replace their luggage every 2 years. And bags, and we've known this, bags replace every 2 years. 73% of those consumers were replaced. So you can see a replacement cycle that's better for nontravel as well, but the travel replacement cycle, I think, is still very, very strong for us. And I think it's elevating as consumers prioritize travel. And particularly, what they're traveling with matters. It speaks something to who they are, and we can continue to see that in the way luggage has been elevated and the ability to personalize with colors, a personalization on the product has been a big driver in growth. And there's clearly a growing and shifting preference towards brands that are sustainable. And I think that will continue over the next several years. And as you know, and I'll cover just a bit at the end, we have this amazing sustainability story. Our responsible journey really continues to deliver amazing product innovation for us. And from 0% in 2017 to 23% in '22, where 40% of our products incorporate some meaningful level of sustainability, and more to come as we continue to push the needle on that. On D2C, I'm on Page 19, just to give you some color. Our overall D2C growth for the year was 2.7%. If I jump to the bottom of the page, that speaks to then wholesale is down just a bit. And for the reasons I just said, wholesale -- our overall wholesale business was down 2% versus last year. But in '23, wholesale customers were rebuilding. And so a lot of that is around the rebuild in inventories from the previous year that we're up against from a comp perspective. And so when you peel it back, direct-to-consumer growth, 2.7% is a very good result for the year. Our e-commerce was up close to 6% versus prior year, growth in all regions. Our full year retail growth was up 1.5%. Our comp growth was a little lower, down 2.7%. That speaks to traffic that we've talked about, the revenge travel that we talked about when I say traffic or this premium luxury space. And the revenge travel we saw last year, that's impacting some of the comp as well in this more macroeconomic uncertainties that I think is impacting consumers, which you tend to see in comp. We opened 67 stores last year, net stores. We opened 67 the year before, that's feeding a story here that's I think, helping drive a good story in our overall direct-to-consumer as well. And you can see the mix has shifted slightly. We went up almost 100 basis points from 38.9% to 39.8% in the mix of D2C. If I look at the mix for e-commerce, which is the next slide, we -- again, we've been investing here. We're investing across all of our regions. Our e-commerce is -- our own direct-to-consumer e-commerce at 11.4% of our sales, up from 10.8% last year. if I include the e-wholesalers that we can measure, pure e-wholesalers, I'll use Amazon as an example, our mix there is 19.4% of our sales, up from 18.2%. So clearly, consumers continuing to move and shop there. And we're investing. We're investing in content. We're investing in all the platforms. We're investing in how we support our e-commerce customers in a meaningful way. So when a consumer shows up in that channel versus our channel, we show up elevated across all of our brands, and it's delivering really tremendous results. If I look at our overall e-commerce growth, again, up just shy of 6% for the year, driven by Asia, up almost 4%; North America, up 1.3%; Europe, up 13% -- 12.6%; in Latin America, where we're really pushing forward in Latin America, up almost 55% off a business that's up close to 20%. So you can see e-commerce as a big piece of the growth driver as well. On the next slide, we are opening stores. We're very strategically selecting store openings across the globe. We have a little more emphasis in Asia and Europe, as you know. We have a little bit more emphasis in Tumi generally, particularly in Europe and Asia. So you can see across the globe, we opened 9 stores in North America, 5 were Tumi. 20 stores in Europe, 7 of which were Tumi. 10 stores for Tumi in Asia and 26 stores in total for Asia. Asia continue as opportunities to open stores across the brands. In Latin America, 12 stores, with again, Tumi opening stores, 6, and other -- Samsonite and other stores, Latin America, 6. All driving a good story for us, all elevating brand imaging and really elevating the consumer experience and a big piece of our story. A few slides on stores. We've opened some stores around the world, as you know. I think some call outs here just to give you a sense of what we're doing and the elevation that we're achieving when we open stores. This is -- I'm on Page 22. This is the Dubai Mall store. We had a store there. We took a new space and renovated and elevated. We were all there for the opening. It's really quite a tremendous store with high volumes. And if I go to in Bangkok, Thailand, we opened a store for Samsonite that really blends really nicely local culture, sustainability and innovation all into the store, so you feel it in the store. And what makes us powerful is we can create a really consistent brand elevated experience across the globe. But because we execute this strategy locally, we can be relevant to that market. And I think this store captures a lot of that essence within our Asia business, but particularly within Thailand, performing very well. Quite excited about this store. This is Tumi Ginza store in Japan. This was a renovation that we did. This used to be a kind of combined branded store. And this is transformational on elevation for Tumi in Japan. Really a terrific store. Recently opened, and I think it will do tremendous thing. And if you know the street and you've been by the store, I think you immediately can see the difference in the store footprint. And what we can offer in display on the product perspective will continue to drive a great Tumi Japan story, which has been very successful for many years. Within Europe, we opened a new Samsonite store in one of the real prime locations within Cologne. This is a great store. I haven't been to visit yet, but it's off to a really good start, and really a terrific location. And then we opened our first Tumi store in Switzerland on one of the most exclusive shopping streets within Switzerland, and this is one we've been pursuing for a while. But the discipline we have in our opening stores is we're opening only stores that get the right location. And so it took us a while to get the right location, but this is clearly it, and we're quite excited about this store and looking forward to great success there. Just on Tumi, and you'll hear it. You've probably seen it already in some of our campaigns and messaging. But Tumi celebrating its golden anniversary, 50-year anniversary for Tumi. I had lost track that it was 50 years and we're quite excited about it. And you're going to see some great stuff from us. One, you'll see some campaign work made for you since 1975 is the theme. This is a great campaign, really talking about the heritage of Tumi and what we've done to continuously reinvent and drive this brand, which is I'll call it, just shy of a $1 billion business today. We have amazing exciting products tied to the 50th anniversary, but we always have amazing new products, but we're using 50th anniversary to really highlight some amazing stories. You'll see iconic collections like Alpha and Voyager. You'll see 19 Degree with really elevation, some gold offerings as well. But importantly, if I go to the next page, and this is starting to hit the streets today or not today, but in this quarter, we've launched our lightest luggage. And we've talked about this as one of the initiatives we needed to do with Tumi. And so we've launched 19 Degree Lite, really, as part of this 50 years of innovation. And this is a tremendous product. I've started to travel with this product now. You will see the difference and feel the difference. And it's really the attention to design and detail that we have, incorporating materials that really deliver a story of lightweight and durability. You'll look and feel this product to be all day Tumi. And when you pick it up, you won't believe the transformation. This will do well everywhere. It will do well in North America. But importantly, you've heard us say this, this really matters within Europe, and it definitely matters within Asia. And so as we embark on the journey of adding lightweight into Tumi's fleet, I think it will do a really amazing thing. And more to come is what I would say, more to come as we get into next year. But I would highly recommend you take a look at this product, and you will see the difference, the Tumi difference. On sustainability, just really quickly, we've made tremendous progress in our responsible journey as I said earlier, 40% of our products incorporating some level of recycled materials, up from 34% last year, 17% from 2021, 0% in 2017. We fully -- we really further advanced our product sustainability framework to understand what we're able to achieve, understand how we push the envelope for products. And we've set some real clear targets for ourselves through 2030. That's important because that feeds into our ability to reduce our greenhouse gas emissions. The real progress that we make there is off of what we do on product development. Much of that comes from the materials that we use, and we're laser clear and focused on what we need to do to achieve that. Within our own facilities, we're using 100% renewable electricity. And we finalized and you would have saw this press release, but we launched a science-based target in last week that was validated for us. And this will really be a driver to our impact on the environment and we're laser-focused on what we're doing there. And we continue to be focused on the people front, professional development within our own organization. We're ahead of our own get our own targets there. And we really continue to push our approach to human rights and social compliance and really pushing the envelope on what we do there and really starting to develop clear framework for how we move forward. That's within our own teams, but within our supplier base. And we -- as you know, we have a really strong relationship with our supplier base in elevating the game within their shops as well. And in the background, we're doing a lot of work on the governance and the metrics and the accounting that continues to build with regulations on this front so that we're getting the measurements right as well. So again, I'm really excited there. Lastly for me, and then I'll come back. We're getting recognized. We were -- in time, we were #40 out of 500 on a recent survey of World's Best Companies in Sustainable Growth in 2025. So #40. #2 in the retail wholesale and consumer goods space. This is real progress. This is from a company that 6 years ago, we're just starting, and we're already #40 out of 500. We've got a AA rating for -- within MSCI, really speaks to leadership. This is -- we're in a different position. We're in a really transformative position as a leader on what we're doing on sustainability. And our update, our responsible journey report will come out in April. And again, I always say this, but I highly recommend you reading it. It gives you a different lens into our company and what we're really doing to make a difference. And importantly, all of that we're doing, while we're moving gross margins up, while we're delivering operating leverage because of our scale, we can execute this responsible journey strategy without having any impact on our -- the performance of our business on the profit side. With that, I'll turn it to Reza, and I'll come back with an outlook again.
Reza Taleghani: Thank you, Kyle. So we're on Page 33, just a brief recap. Kyle has covered a lot of this, so I'll go relatively quickly through this, the Q4 results. Constant currency growth of 1% off of a very strong Q3 -- Q4 number in 2023. Year-over-year net sales improved across all of the regions compared to Q3 of 2024. So we're seeing improvements across the board. Gross margin, 30 basis point improvement over that amazing number that we had in Q4 of last year. So we're very proud of the discipline that we've had both on promotions, the brand elevation and the shift that we continue to focus on in terms of our DTC channels. That resulted in an adjusted EBITDA margin of 20.7%, up 160 basis points year-over-year. There was a decrease in advertising in the quarter, so that did contribute somewhat to it. But overall, we're very happy about the fact that we've been able to maintain the efficient cost structure that we work so hard to achieve during the pandemic. That and adjusted net income up $20 million year-over-year. So I think overall, very good results for the quarter. Going to Page 34. Combined Q4 distribution and G&A expenses of $332 million. That was a $2 million decrease compared to last year, and that's despite adding 67 net new stores. So as you can tell, we're very focused on the cost side of the equation, managing the things that we can manage. Advertising spend of $54 million in the quarter, that's 5.7% of net sales. Overall advertising spend for the full year was $227 million, 6.3% of net sales. So still a meaningful investment in terms of behind all of the brands. Strong adjusted free cash flow, $135 million, that was a $3 million improvement compared to Q4 of 2023. And net debt position of $1.1 billion as of the end of the year, and that's after returning $308 million to shareholders via the dividend, the cash distribution that we have, $150 million, and the $158 million of share repurchase. So again, we continue to generate cash. We continue to delever, and we continue to be able to invest in the business and to return a sizable amount to shareholders. We've repurchased approximately 63 million shares out of the $200 million that we've announced, obviously, liquidity in Hong Kong being an issue. But that's about $158 million of the $200 million, so we have about $42 million left. And calculated net leverage ticked down to 1.58x as well despite the -- and again, just a testament to the strong free cash flow generation of the business. And overall, still a very, very strong liquidity position, over $1.4 billion of liquidity as of the end of the year. On Slide 35, the gross margin improvement, again, behind the brand elevation that we've been doing and also maintaining promotional activity, 60.2% for Q4 2024. That was an improvement from Q4 2023, which was also a very strong number. We're continuing to be focused on this. As we get into guidance, we'll basically say that we're trying to maintain gross margin levels, but this is a very high level that exceeded our expectations, I would say, for the course of the year as well. On Slide 36, very tight management of our distribution and G&A expenses. As you can see, if I'm looking at Q4 versus Q4 of last year, we're actually lower by $1.7 million. And that takes a lot of work when you're opening stores to be able to do that and to manage basically all of the levers that we have on the cost side of the equation. So overall, on Slide 37, the overall results for the year, we were roughly flat on sales, gross margin of 60%, exceeding our own internal estimates and better than last year, which was an amazing number as well, so 60% versus 59.3% gross margin percent. Overall EBITDA, a slight decrease compared to last year. So at $709 million last year versus $683 million for this year, that's obviously the flow-through that happens from the slight amount of sales. And overall, if you're looking at it on a constant currency basis as well, I think we feel pretty good about how that margin has been able to maintain despite some of the cost pressures that we've been seeing overall. Adjusted net income, $370 million for the year compared to $392 million for the prior year. On a percentage basis, it's pretty similar to what we delivered last year as well. On Slide 38, just if you're looking at it across the regions, and again, we've covered a lot of this, I'll go through it relatively quickly. Asia, a bit of a laggard compared to the other regions, primarily driven off of India, which has had that competitive dynamic that we've been talking about all year with the discounting that's been happening with VIP and Safari. North America, there has been some shift in terms of what's been happening with the wholesale customers and Tumi in terms of the full-price traffic to our retail stores. That resulted in a 1.2% down in North America. Europe continued to perform solid over the course of the year, and we'll continue to see that trend into Q1 of this year, so up 3.1%, off of a very strong year last year as well. And Latin America, performing very strong as well, obviously, off of a lower base, but up 17% on a constant currency basis for the year. The next slide, just -- if we do a bit of a double click into some of the individual pockets that we just talked about. So China overall, relatively flat over the course of the year, which I think if you compare us to other consumer products companies, we feel very good about that result. When we were doing our initial budgeting for the year, I would say that we were hoping that we could push China a little bit harder than this. But I think given the macroeconomic environment, this is a very good result. India had a decline, we've been talking about it over all 4 quarters of this year, and it was down 18.3%, that also impacted the overall American Tourister numbers for us. The good news on India is that we are starting to see some stabilization in this quarter. So we hope that India will come back again over the course of this year and contribute positively to the overall results of the company. Tumi North America did -- in that premium luxury space did get caught up in terms of what was happening with the overall consumer, especially in North America, specifically. And we saw it in our retail, obviously, Tumi is primarily DTC. In our stores, we saw full-price traffic definitely drop over the course of the year. Q4, there were some positive trends as it related to Q3. So there was a bit of a recovery in Q4, but we're continuing to monitor that segment of the market in 2025. On Slide 40, we continue to diversify the product category mix. Kyle mentioned this a little bit earlier. We are very focused on the nontravel segment. Nontravel grew 2% overall. And that's across all of the brands. So you have an environment where Tumi overall has declined a bit over the course of the year, but the other brands have helped contribute to this as we continue to invest in that nontravel segment. On Slide 41, structurally improved our EBITDA margin. We've been talking about this for -- over the course of the past few years. And I think we're very happy with what we've been able to achieve. And at this stage now, it's really around trying to maintain the margins. Obviously, you're 4, 5 years on now compared to 2019. And so to be able to have continued investment in stores, in people, in regions, and yet be able to still maintain this cost advantage, I think, is something that we're very focused on, and we're going to continue to be focused on that in 2025 as well. Just to shift gears on to the balance sheet. Obviously, we've been talking about paying down debt. Net debt was down $5 million over the year due to strong cash flow generation and liquidity of a very strong position, $1.4 billion. And again, this net leverage point, you can see it on the bottom of this slide here, this is something that we're very proud of. We have been very focused on delevering coming out of the pandemic. Obviously, over the course of the last couple of years, we wanted to strike the balance between continuing to pay down debt, continuing to delever, but also not only invest in the business, but also returning cash to shareholders. So to be able to get back to the same 1.5 turns of leverage at the end of this year after doing, beyond the distribution to shareholders that we've done about $150 million, also doing share purchase and still being able to deliver this, I think, shows the commitment to financial prudence that we have overall. And on Slide 43, just on the working capital, we've also managed to get our working capital into the ranges and the targets that we have been looking at. So we have been -- we've managed inventories. You can see specifically, inventory levels, if we're looking year-over-year, down $44.5 million. We had an increase in inventory levels at the beginning of the year because we wanted to make sure that we have ample stock not to miss sales. But over the course of the year, the teams have been very good in terms of managing those levels down so that we can hit our kind of historical working capital efficiency target. I am sure there's going to be a question on tariffs. So on Slide 44, I thought I would just proactively address it. Again, as you know, one of the core competencies of Samsonite is our supply teams. And we saw it during the pandemic, we saw it during the first round of tariffs that we had to the U.S. This slide is focused in terms of what we have in terms of production that is coming to the U.S. from China specifically. So you can see we ended the year with 85 of our -- 85% of our production is outside of China. So we have about 15% of exposure. It's relatively nominal. It's not something that we're overly concerned about. But importantly, if you look at the consolidated gross margin, we have been able to basically shift production and increase the gross margin as we did that. Again, a real testament to one of the core competencies and our scale advantage that we have. And that also includes reengineering product to reduce costs. And again, we're going to monitor the situation, but I don't think it's something that we worry about too much. In terms of just investing behind the business on Slide 45, CapEx, roughly in line with what we did last year. I think this is a number that you can think of. This is a normal course CapEx number for us. We do anywhere between $100 million to $125 million of CapEx a year. We came in similar to last year. Really, the line item that I'll draw your attention to is that $58 million of CapEx that went into our retail fleet. That is real investment behind the business, both in terms of refreshing stores, but also making sure that we continue to basically put retail footprint in those areas that we think will offer long-term sustainable growth, such as Tumi in Europe such as Asia and selectively in North America as well. And with that, let me turn it over to Kyle, who will give some commentary on 2025.
Kyle Gendreau: Okay. Thanks, Reza. Okay. I mean, 47, outlook. So starting with travel trends. I think travel trends are really continue to and expected to remain robust over the next several years. We showed you a slide on that. We can see that and feel that. We know that will help us deliver our long-term growth in our business. It's a fundamental driver of our business. And as I showed you earlier and said earlier, we have the ability to outperform travel. So as travel continues to move because of the reach around the globe, the opportunities in nontravel and the opportunities to continue to draw consumers into our brands with our scale advantages is a big driver of ours. I mean we're still -- for this year, importantly, for this year, the outlook for summer travel continues to look very good. So in recent days, we've seen some airlines in the U.S. lowering expectations, still positive. We're lowering expectations. But I think it all feeds into an outlook, even in the short-term, but definitely in the medium term that I think will still be very positive for us. Our year-over-year constant currency sales performance, as I said earlier, improved sequentially in Q4 relative to Q3 of this year. However, as we know, we're seeing macroeconomic environment remain uncertain, which is impacting consumer sentiment, we can start to see some of that when we think about where we are. As a result, our Q1 numbers from where I sit today, I think we'll be down low to mid-single digits on a constant currency basis. Some of that's timing. That's really timing in North America. So we can see that. Some of it is consumer sentiment, where we're seeing in North America. I would tell you our Q1 outlook for Europe is very steady. It will be a similar story to Q4 from where we're sitting today. And we've seen some improving trends in Asia continue. Importantly, we're seeing in India, as I indicated, look to be positive for Q4, which is a big shift from where we ended with -- in India last year. And a lot of the initiatives that we're pushing there will continue to drive a good story. And Latin America is very steady as well. And so -- and I think importantly, we anticipate sequential net sales improvement over the rest of 2025 off of a comp that will be easier. As you saw this year, Q2 and Q3, really off the back of revenge travel and what we had saw in our business from the previous year. That will allow us to have some confidence in that statement. But I would say, and I think we all know this, the macroeconomic uncertainties, particularly over the last several weeks, makes it harder to predict. But from where we're sitting and what we can see from a comp perspective, I might feel very good on our prospects improving as we continue to move through 2025. We're very confident in the investments we're making in the business, on products, new and refreshed brand elevation, which continues. This is a business that's performing and delivering, generating and has tremendous ability to continue to invest behind itself, which we continue to do this past year, and we will continue going forward. We have channel and product category expansion opportunities. And all of these will help drive long-term growth in line with that industry outlook, of which I think we can deliver as we have in the past, some outsized growth to that. And importantly, maintaining really robust profit margins. You can see in the gross margin and the discipline that we have on the expense management side, I think, speaks to our ability to manage this business very well. We continue to leverage our SLA model to really maintain this strong adjusted free cash flow. It's one of the real strengths of this business, the ability to generate cash. With that, we can continue to invest in growth. We can return cash to shareholders, and we can continue to delever our balance sheet as we move forward. So we're sitting in a very good position of a business that historically generates tremendous cash and in many ways, continues to grow. As I said earlier, we've made great progress in our responsible journey. We will publish our report on our responsible journey in April, and I highly recommend you read it. And again, that not only is the right thing to do for our industry and our organization. But I do think in the long-term, it continues to add opportunities for growth in our business as consumers continue to shift their prioritization on that front. And we make -- lastly, we continue to make good progress on our dual listing story. Where we believe that this will really add shareholder value when we talk about increasing trading volumes and providing more access to our securities from the U.S. and global investors in a more liquid market. Considering the current environment, we continue to make progress, and we're monitoring market conditions really to get the timing right is the way I would describe it. And -- but we've done tremendous work to get ourselves very close to a ready position on that front. So with that, William, I will turn it over to you and maybe we'll take a few questions.
William Yue: Great. Thank you very much, Kyle, and we will start the Q&A session now. We'd like to limit each speaker to 2 questions each. So with that, why don't we begin. And before we start, we do have a hard stop, 5 minutes before 9. So why don't we begin now.
Operator: [Operator Instructions] Your first question comes from the line of Erwan Rambourg from HSBC.
Erwan Rambourg: So I think you said in the short-term, you are expecting Q1 to be down low to mid-single digit. I'm wondering if you could give a bit of granularity by region? And I don't know if I heard this correctly, but I seem to have heard that you were mentioning that India, at least in the short-term, was maybe doing a bit better. And then my second question is around the marketing spend ratio. Obviously, better profit than expected in Q4, partly on the back of that ratio coming down. Is that just a timing issue? Or is it a scale advantage? How do you think about the sort of ratio of advertising to sales for this year and the longer-term?
Kyle Gendreau: Yes. Okay. I kind of indicated some of the details within Q1, but I would say, Europe looks steady. Europe's growth rate looks very similar to Q4, which was a very good growth rate. That's come from where we're sitting today. Latin America continues to look steady. There was a little bit softer back-to-school season in a couple of the markets, but still really strong growth, as you'd anticipate for Latin America. Asia is an improving trend is what I would tell you. And we did see India -- it looks like India will be positive, slightly positive, but positive for Q1, which is a big shift from where we've been with India. They were down around 18% last year, and that speaks to the initiatives. Our China business looks good. It's an improving trend. We had a very strong January of '23 in China, which we comped against. But when we get into February and March, and there's a little bit of Chinese New Year timing as well, but a trend that's looking similar, if not improving. And my anticipation is China will continue to improve during the year. Subject to macroeconomic uncertainties, we're watching that, but our business and the travel within China, travel -- domestic travel in China actually continues to be very strong and so we ride that really well. And overall, Asia has a slightly improving trend is what I would say from Q4 to Q1 from a growth rate perspective. And so if you blend that together, you get a sense for where we are. I think with all the macro uncertainties, I guess North America is the piece that everybody is wondering, and my sense is, one, we had a pretty meaningful timing shift from Q1 to Q4. So that's a piece of it. But our U.S. business is seeing a negative trend, if I adjust for that in that same range is what I would say. That same range, down low to mid-single digits, adjusted for timing is what we're seeing in North America. And I'm not so surprised with that just considering what's going on in the U.S. from a trend perspective. When you blend that together, it's -- we're clearly seeing an improving trend in most of the markets, but the weight of North America is holding that into that low to mid-single digit. And I think going forward, I think we're a [ bit vague ] because it's hard to predict. But we know we're comping easier Q2 and Q3, and our indications are that will deliver an improving trend for us as we move right through the year. And then on the marketing expense side, our target is 6.5%. I think the real shift was -- in Q4 last year, we spent 7.2%. We were leading into Q4 last year. We spent last year. I think this year's number was 5 7% -- I can't remember the number, 5.7%. But our full year estimates and our full year outlooks have always been around 6.5%. We ended 6.3% last year. We throttled it back just a bit. But on a go-forward basis and even for this year, you should expect to spend around 6.5%.
Operator: We will take our next question and the question comes from the line of Kai Sheng from Haitong Securities.
Kai Sheng: My first question is actually about the store expansion because we still see continued store expansion last year. So may we know more color about the store expansion plan in terms of different regions? And my second question is actually about the guidance for the whole year because we've already seen some color for the first quarter. Maybe if we can know more details about the revenue and also the margin side for the whole year?
Reza Taleghani: So let me start with the store expansion point. We did 67 stores last year. That's in the range of what you should expect for us in normal course. If you think about it by region, there is definitely a strategy to expand Tumi globally. And I would tell you that Europe is a focus. But when I say that, the number of stores you can really find, because we're very selective around finding the right high street locations, that still ends up being 6, 7 stores a year in terms of what we are actually able to deploy in those good long-term locations. So you'll still see some Tumi growth in terms of absolute numbers in Asia just because the footprint is bigger and it's easier to secure those locations. And then -- but in absolute terms, Samsonite is obviously a bigger brand. And so you'll see a significant investment in Samsonite as well. But again, in aggregate, it adds up to that anywhere between 60 to 70 is what you should expect. And usually, what we're strategizing, it's not that we're trying to materially shift the DTC mix through store expansion. We're usually going into locations where strategically, it makes sense. So for instance, Samsonite in Europe, you may have a luggage retailer that's been in a location and the next generation doesn't want to operate the luggage store anymore. And it makes sense for us to go in there. We will replace that mom-and-pop luggage store with a Samsonite store. So that's how we approach it. We -- and again, if you think about the brands, obviously, Samsonite, we're also investing in the existing store fleet in terms of elevation as well. So if you walk into a Samsonite store, this year versus 5, 6, 7 years ago, I think you will experience the feel of that brand in a much different way. I'll also just add in terms of Tumi, if you're thinking strategically, we are also looking at larger footprint stores, because Tumi, there's the nontravel segment, the travel segment and typically, the stores are around 1,300 square feet. So to be able to really show the full breadth of the product offering, we do want to have a little bit additional square footage as well. So that's the other thing I'll just mention with regards to Tumi. In terms of guidance for the year, we specifically are sticking to Q1 for now. Obviously, there's some uncertainty in terms of consumer demand for the remainder of the year. So beyond this quarter, we're not giving any guidance.
Kyle Gendreau: Yes, it's hard to predict given the current environment. But I think if you do your modeling, and we're saying that we have -- we're seeing an improving trend for the year off of comps. I think you can get a sense for what we're thinking, but it's really hard to predict at this moment is the way I would describe full year outlook. But an improving trend should give you an indication of where we're going. Yes.
William Yue: We're nearing the end of the hour, Kyle. So would you mind taking one more question from Morgan Stanley, and then we'll finish?
Kyle Gendreau: Yes. Let's -- I've got a 9:00 call, but let's do it.
Operator: Your final question comes from the line of Dustin Wei from Morgan Stanley.
Dustin Wei: So given this macro uncertainty, what's kind of the growth driver that you think you can control and is the biggest like focus for the management this year? Is it going to be the store opening or new products? Just want to know more growth driver for Tumi and Samsonite this year. In terms of the capital allocation, like your free cash flow is very strong, which is good. So in that context, so what's the order of the preference for you for the buyback, dividend and debt repayment?
Kyle Gendreau: From a growth driver perspective, I would tell you, I think the travel indicators are still strong. So one of our real important pieces of our story is consumer is traveling. And though we've seen a little bit of softening of expectations right now in the U.S., all of my indicators for summer travel look very strong. So for us, I think we will correlate to that fairly well. We're also in a period where -- last year was up against really this kind of replenishment that was happening and revenge travel that was happening. And we're in a -- I might argue a more normalized period. So you start to get into a more normalized growth story for us against the travel industry that's growing. For us, it's always been and the drivers are the same. Product. This is a business that innovates and delivers amazing product. I give you a little taste of Tumi, for example. Across all of our brands, we continue to invest. There's amazing product launches coming across all of our brands. We've got an exciting set of collections that have just launched or will be launching for Samsonite, both in the U.S. and globally, but I think and know will deliver good results. Tumi for sure, there's real meaningful investment. Investments in nontravel, you'll see and feel that this year, you'll hear us with that can deliver growth in nontravel in last year, which was up against a really strong travel in our numbers in the previous year was still positive, and I expect that, that will continue. So the pillars of growth that we are used to seeing from us will continue to deliver growth. E-commerce will continue to deliver growth. Further penetration in Latin America will continue to deliver growth. India getting back into a lane will deliver a good growth story for us. And I do anticipate -- and we're sensing some of this in China. China will deliver a story for us. And you blend that together, you can do your modeling to say, there's a lot more drivers of growth that we're up against versus the backdrop of consumer sentiment, which the whole world is wondering where the consumer is or will be and particularly in North America. But we're pushing all of the things that we typically push the business for, we're pushing. And we're not having to prioritize one over the other because we can do those really well. We'll open retail stores again this year. I think the number is in the same ZIP code as last year when I look at it. That's around strategic penetration and drivers of growth. But it's not around opening stores for the sake of driving growth. This is around normal course, right location, expanding Tumi within Europe and Asia, opportunities in North America and really just penetrating markets that we have opportunities to do so. So all that looks and feels the same, Dustin, and we're not having to kind of make decisions or prioritize. And advertising is an important piece of our story. We've got a plan to spend 6.5%. If I see any bits of headwind, we can adjust that just a little bit. But from where I'm sitting today, I don't think we need to do that. But that will be one of the levers if we are feeling a little bit of pressure. We're managing the cost side really well, Dustin. That continues. It's really one of our strengths. You've seen it now for several years. And so we're focused there. We're focused on managing our teams with that in mind. Uncertainty means manage even more carefully, which is what we're doing on that front. And your other question was on...
Dustin Wei: Capital allocation.
Kyle Gendreau: And then capital allocation, I think, again, we can do all. And you'll see a dividend again this year. That's kind of normal course for us. We'll continue the last bits of share buyback here, I think, in over the next few quarters to get to what we had kind of committed to doing. We'll reevaluate that, I think as the year goes, and we'll delever and we'll invest in the CapEx that we should invest in normal course. And from a financial strength perspective, the business has never been stronger. Balance sheet liquidity, our ability to return to shareholders and do the things we're doing. We're in the full control over this business. And those numbers were up last year. For a business that was flat, those numbers all over delivered last year. So that's how I'm thinking about it. Again, there's a lot of noise in the world today, but how we're running the business is very consistent with where we've been running before. We're not in panic mode anywhere other than just watching what the consumers are doing, again, particularly in North America, but overall, we're in a really good spot.
Dustin Wei: It's great. Should we assume that 2025, you will target to see the similar EBITDA margin versus last year?
Kyle Gendreau: I think we'll be in the lane, yes. Again, advertising market, if I see things improving, we might spend a little more on advertising, but we'll be in a similar ZIP code as last year, yes.
Reza Taleghani: Thanks, everybody.
Kyle Gendreau: Thank you. Thanks, everyone. Thanks, William.
William Yue: Thank you very much, everyone. And this concludes the call.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.